Operator: 00:07 Greetings, thank you for standing by. Welcome to the Fair Isaac Corporation Quarterly Earnings Call. During the presentation, all participants will be in a listen-only mode. Afterward, we'll conduct a question-and-answer session. [Operator Instructions] This conference is being recorded, Wednesday, April 27, 2022. 00:29 And now, I'd like to turn the conference over to Steve Weber. Please go ahead.
Steven Weber: 00:34 Thank you. Good afternoon, everyone and thank you for joining FICO's second-quarter earnings call. I'm Steve Weber, Vice President of Investor Relations and I'm joined today by Will Lansing, our CEO and our CFO, Mike McLaughlin. Today, we issued a press release that describes our financial results compared to the prior year. On this call, management will also discuss results in comparison to the prior quarter in order to facilitate understanding of the run rate of our business. 00:59 Certain statements made in this presentation may be characterized as forward-looking under the Private Securities Litigation Reform Act of 1995. Those statements involve many uncertainties, including the impact of COVID-19 on macroeconomic conditions and the company's business, operations and personnel that could cause actual results to differ materially. Information concerning these uncertainties is contained in the company's filings with the SEC, in particular, the risk factors and forward-looking statements portions of such filings. Copies are available from the SEC, from the FICO website or from our Investor Relations team. 01:34 This call will also include statements regarding certain non-GAAP financial measures. Please refer to the company's earnings release and Regulation G schedule issued today for a reconciliation of each of these non-GAAP financial measures to the most comparable GAAP measure. The earnings release and Regulation G schedule are available on the Investor Relations page of the company's website at fico.com or on the SEC's website at sec.gov. A replay of this webcast will be available through April 27, 2023. 02:05 And now, I'll turn the call over to Will Lansing.
William Lansing: 02:08 Thanks, Steve and thanks to all of you who are joining us for our second quarter earnings call. On the Investor Relations section of our website, we posted some slides that offer financial highlights of our second quarter. I'm pleased to report that we continue to deliver strong results as we pursue our strategic initiatives in both Scores and Software. Today, I'll talk about this quarter's results and how we view our business at the midpoint of our fiscal year. 02:36 As you can see on page two of the presentation, we reported revenues of $357 million, which is an increase of 8% over the same period last year. We delivered $104 million of GAAP net income and GAAP earnings of $3.95 per share, up 52% and 70%, respectively. On a non-GAAP basis, net income was $124 million, up 37% and earnings per share of $4.68 were up 53% from last year. 03:08 On the Scores side, the business continues to perform well. Scores were up 9% in the quarter versus the prior year as you can see on page six. On the B2B side, revenues were up 5%. As others have reported, we continue to see a slowdown in mortgage activity as interest rates rise. Mortgage origination revenues were down 23% versus last year. Mortgage revenues account for about 14% of our Scores revenues and 7% of our total company revenues. 03:43 Auto origination revenues were up 9%. Personal loan origination revenues were up 27%. While the mortgage declines have been significant, we do remain confident in our revenues given other areas of strength and pricing increases. Our B2C revenues continue to be strong, up 18% versus the prior-year quarter. We saw strong growth through both our own myFICO business and also through our channel partners. 04:13 In our Software segment, we delivered $173 million of revenue, up 7% from last year. We continue to drive growth in this segment, particularly on our platform. As you can see on page seven, total ARR was up 11% and the platform ARR grew 60%. We continue to deliver strong NRR as well demonstrating our existing customers eagerness to find new ways to expand their usage. 04:40 Total NRR for the quarter, which you can see on page eight, was 110%. Platform NRR was 141%, and we continue to sign more deals and bigger deals. Our ACV bookings, as seen on page nine, were up 55% over last year. I'll have some final comments including a revision of our guidance in a few minutes, but first, I'll turn the call over to Mike for further financial details.
Michael McLaughlin: 05:08 Thanks, Will, and good afternoon everyone. As Will said, we continue to drive strong growth throughout the business. Total revenue for the second quarter was $357 million, an increase of 8% over the prior year or 13% after adjusting for the divestiture of our Collections and Recovery product line last June. 05:25 In our Scores segment, revenues were a record $184 million, up 9% from the same period last year. B2B Scores revenue was up 5% over the prior year. As expected, mortgage origination revenues continued to decline, down 23% from the same quarter last year, but that was more than offset by growth in other areas. 05:46 Credit card and personal loan originations revenues were up 27% and auto originations revenues were up 9%. B2B non-originations revenues, which include FICO scores used for pre-screening, account management and insurance, were up 16%. B2C Scores revenues were up 18% from the same period last year. Both myFICO.com and partner B2C revenues grew significantly. 06:12 Software segment revenues in the first quarter were $173 million, up 7% versus the same period last year. Adjusting for the divestiture of our Collections and Recovery business, software revenues were up about 19%. Software license revenue recognized upfront or at a point in time as it is referred to on our 10-Q, was $27 million this quarter, compared to $12 million in the same period last year. 06:38 Our lower margin professional services revenues, which we are strategically deemphasizing were $24 million and down from $37 million in the same period last year. This quarter 78% of our total company revenues were derived from our Americas region. Our Asia-Pacific region generated 12% and the remaining 10% was from EMEA. 06:59 Our software ARR at the end of the second fiscal quarter of 2022 was $550 million, an 11% increase over the prior year quarter. Our platform ARR was $97 million, representing 18% of our total second quarter ARR and a growth rate of 60% versus the prior year. Our non-platform ARR was $453 million in the first quarter -- sorry, in the second quarter, up 4% from the prior year. A quick reminder, our reported ARR and related metrics exclude all revenue from divestitures in prior period. 07:35 Our dollar-based net retention rate in the quarter was 110% overall. We continue to drive very strong expansion from our platform customers as they expand their usage. The dollar based net retention rate for platform software was 141% in the second quarter. Our non-platform software usage continues to be mature and relatively stable, which is reflected in the non-platform net retention rate of 103% this quarter. Software sales were strong again this quarter with annual contract value bookings of $20.6 million versus $13.3 million in the prior year, an increase of 55%. As a reminder, ACV bookings include only the annually recurring value of software sales, excluding professional services. 08:20 Turning now to our expenses for the quarter, total operating expenses were $205 million this quarter, a decrease from $230 million in the same quarter last year. This year-over-year decrease is primarily due to the divestiture of our Collections and Recovery business, as well as various cost reduction initiatives. 08:38 Our non-GAAP operating margin, as shown on our Reg G schedule was 51% for the quarter. We delivered non-GAAP margin expansion of 1,200 basis points over the same period last year. GAAP net income this quarter was $104 million, up 52% from the prior year quarter. Our GAAP EPS was $3.95, up 75% or 70% from the prior year. 09:02 Our non-GAAP net income was $124 million for the quarter, up 37% from the same quarter last year. The effective tax rate for the quarter was 21%. We expect our FY 2022 recurring tax rate to be approximately 25% to 26% before any excess tax benefit or other discrete items. The resulting net effective tax rate is estimated to be about 24%. 09:28 Free cash flow for the quarter was $120 million versus $152 million in the same period last year. At the end of the quarter, we had $207 million in cash and marketable investments. Our total debt at quarter end was $1.81 billion with a weighted average interest rate of 3.70%. 09:47 Turning to return of capital, we bought back 580,000 shares in the second quarter at an average price of $455 per share. During the quarter, the prior Board repurchase authorization was exhausted and as previously communicated, a new $500 million authorization was approved. At the end of March, we had about $400 million remaining on that authorization and continue to do share repurchases as an attractive use of cash. 10:13 With that, I'll turn it back over to Will for his thoughts on the rest of FY 2022.
William Lansing: 10:17 Thank you, Mike. As I said in my opening remarks, we continue to deliver strong results, and I have confidence in our team as we move forward. Our Scores business continues to deliver strong growth, even in a volatile macro environment. As I've said in the past, our diversification through different credit verticals means that we're less dependent on specific types of lending, which is important in a rising rate environment. 10:41 On the software side, we continue to see more evidence that we're on the right strategic path. We've now delivered 10 straight quarters of platform ARR growth in excess of 40%. And we're excited to demonstrate to new and existing customers the best-in-class capabilities that can revolutionize the way they interact with consumers. As always, we remain focused on execution and are committed to delivering value to our shareholders and visibility to the progress we're making. 11:08 Finally, today, we're raising our full-year guidance as we enter the back half of our fiscal year. We are raising our full year revenue guidance to $1.355 billion. As we've noted, we're facing difficult comps in mortgage, but we're seeing strong growth in the unsecured lending markets and in most of our software markets. Some of these trends were anticipated, but there is clearly uncertainty as we move through the next half year.  11:35 We're also increasing our GAAP and non-GAAP net income as well as EPS. Our GAAP net income is now expected to be $350 million. GAAP earnings per share are now expected to be $13.11. Non-GAAP net income is now expected to be $429 million and non-GAAP EPS are now $16.08. 12:02 I'll now turn the call back to Steve and we will take the questions. Steve?
Steven Weber: 12:07 Thanks, Will. This does conclude our prepared remarks and we will now take your questions. Operator, please open up the line.
Operator: 12:14 Thank you. [Operator Instructions] And our first question is from Kyle Peterson with Needham. Please go ahead, your line is open.
Kyle Peterson: 12:40 Hey, good afternoon, guys. Thanks for taking the questions. I wanted to touch on your margins, really impressive this quarter. The expenses kind of come in leaner than expected. I know a lot of companies have been talking about inflation dynamics and cost pressures. How are you guys managing the cost? And is there anything kind of one time in terms of like timing of spending that we need to keep in mind as we progress through the year?
William Lansing: 13:11 Well, our expenses will be a bit higher in the second half than they were in the first half, but we're doing a pretty good job of managing expenses. Some things like travel and real estate are the kinds of things we expect coming out of COVID. They're still under control and less than they were in the old days. So there is that kind of cost control. 13:33 But I would say that we're also doing a pretty good job on the software side of bringing down our COGS and we're starting to see some benefits from our increasing focus on engineering our products and solutions for cost and efficiency and scaling. And so, all that's coming together and improving our margins.
Kyle Peterson: 14:00 That's helpful. And then I guess just a follow-up on the guidance raise on the topline, I know there's quite a few moving pieces, but just wanted to see if you guys could give any color on the dynamics between the pricing benefit and I’m also assuming it's some lower volume assumptions, at least on the mortgage side of things. So, just wondered if you could give some of the puts and takes of kind of the pricing versus volume and the net impact of those in your updated assumptions.
William Lansing: 14:38 It varies by the segment of Scores you're talking about, but there is definitely price benefit in there. Some volumes are down, some volumes are up, but prices offsetting the declines.
Kyle Peterson: 14:56 All right. Thanks, guys. Nice quarter.
William Lansing: 14:59 Thank you.
Operator: 15:00 Our next question comes from Manav Patnaik with Barclays. Please go ahead, your line is open.
Manav Patnaik: 15:06 Thank you. Good evening. Will, I just wanted to -- I was hoping you could expand on the comments you made on -- you have diversified lending categories. I know you said mortgage was 14% this quarter, I guess. Could you just help us with what auto, personal loans, et cetera is and perhaps what you're assuming in your guidance for those?
Michael McLaughlin: 15:31 Hey, Manav, it's Mike. Consistent with what we've shared in the past, the three segments of the originations, part of our B2B business, are roughly the same size. That varies from quarter to quarter, one grows or shrinks, but in approximate terms, that's the way to think about and we don't get into specifics beyond that.
Manav Patnaik: 15:56 Okay. And when you say same size, you mean 14%, which was mortgage would be the same as -- would be the same for cars and auto?
Michael McLaughlin: 16:07 In terms of dollars for B2B originations, that's correct.
Manav Patnaik: 16:12 Yeah. Okay, got it. And then perhaps -- obviously, there's a lot of uncertainties in the market et cetera. I was just hoping you could help us understand how your pricing strategy changes? Should we do -- enter a period of a slowdown?
William Lansing: 16:32 Well, we take it every year year-by-year and we're committed to consistently increasing our revenue and net income and EPS. We do what we have to do on price to make sure that that remains true. I think, you can expect that from us. It would take fairly calamitous change in the cycle for that to not be true. 16:57 But that's really what goes into figuring out how aggressively we move on price and you've also heard us talk about the pacing and the moderation in the way we go at pricing. We don't want to shock the system. And so it's that balancing act. I think that we put a very high value on consistency of growth. And so, I think you should expect that even as the cycle spins down a little bit, and we do what we have to do on pricing to make that happen.
Manav Patnaik: 17:36 Fair enough, thank you.
Operator: 17:41 Our next question is from George Tong with Goldman Sachs. Please go ahead, your line is open.
George Tong: 17:46 Hi, thanks. Good afternoon. So just wanted to dive further into the special pricing increases, can you share what the customer receptivity has been so far this year, two price increases, and then as you look across the verticals, which vertical has seen more price increases than others? In the last year when mortgage volumes were very strong, price increases were not as high in the mortgage vertical. So are we seeing a reversal there? Just any additional commentary would be great there.
William Lansing: 18:21 George, you know, I talked about this in the past and you know, nobody loves price increases, okay. So, when you say what's the receptivity. I think customers will prefer not to have price increases than they have them, but I think that they expect reasonable and appropriate price increases from us and that's what we deliver and they've been well received. 18:41 We haven't had any significant deflection. We have no major customers leaving us. We have no threat to major customers leaving us. And so, I would say that we've been able to strike a pretty good balance between the price increases that led us consistently drive revenue and earnings without -- again without shocking the system. So, in short, I think, it's a conservative strategy and it's working well on the ecosystem.
George Tong: 19:12 And then the part on where you're seeing more or less price increases by vertical mortgage versus card versus autos?
William Lansing: 19:20 Well, so as I said in the past, we are increasingly trying to spread the price increases in ways that they are less visible to the customers and less visible to you. Our goal in a perfect world would be -- we could even point our fingers at where the price increase happened. 19:40 So there is a fairly elaborate exercise that we do internally to figure out where are the pockets of inelasticity where we can do price increases without losing volume. And so, we do that and we're getting better and better and better at that and that lets us do it in a way that's not nearly as visible and not as easy to describe. So I can't really give you a lot more detail there.
George Tong: 20:09 Got it. That's helpful. And then [Multiple Speakers]
William Lansing: 20:16 No, what's your next question, George?
George Tong: 20:19 I just wanted to get sort of your experience in working with the FHFA so far, whether you are in regular conversations with them? And where in the process you believe they are in terms of ultimately reaching a decision on mortgage source?
William Lansing: 20:39 No, I can't tell you when they will reach a decision. We're waiting for a decision like you all are. Pretty much what I can tell you is that, we continue to believe that we have the most predictive score. And so, we're proud of what we've submitted for evaluation. It's -- that's about where we are, we are waiting to hear the results.
George Tong: 21:08 Okay, got it. Thank you.
Operator: 21:12 We have question from Ashish Sabadra with RBC Capital Markets. Please go ahead, your line is open.
Ashish Sabadra: 21:18 Thanks for taking my question. I was wondering if you could provide some more details around the large software license deal, whether that was a platform or enterprise deal? Any color will be helpful. Thanks.
Michael McLaughlin: 21:31 Hi. Ashish, it's Mike. It was mostly platform, not 100%. It's a multi-year deal and -- with what we think is a great customer.
Ashish Sabadra: 21:46 That's great. And I just wanted to follow up on an earlier question. Obviously, the mortgage has worsened compared to your prior guidance. The expectations there have come down, but I was just wondering how have expectations for cars and autos changed since the last guidance? Those seem to be holding up really well and the market there is pretty strong. I was just wondering how do those flow into the updated revenue guidance? Any color will be helpful. Thanks.
Michael McLaughlin: 22:19 You can see from -- Ashish, it's Mike again. You can see from the external data that auto sales for the first of our two fiscal quarters have been lower than what forecasts were when we set guidance originally. Supply chain being one of the primary reasons for it. And so, relative to the assumption we had for auto, credit originations that was embedded in our guidance last November, we have brought that down a bit to be in line with what best we can triangulate from external forecasts. We continue to be optimistic about credit card and other and personal loan originations, not much change frankly from what we thought was going to unfold when we set the guidance at the beginning of the year and mortgage continues to be negative.
Ashish Sabadra: 23:17 That's very helpful color. Thanks.
Operator: 23:22 And we have a question from the line of Jeff Meuler with Baird. Please go ahead, your line is open.
Jeffery Meuler: 23:27 Yeah, thanks. So we've had a couple of the bureau partners guide to the calendar year mortgage inquiries being down 30% to low 30%. Does your guidance assume something similar?
William Lansing: 23:42 It assumes something similar, yes. I mean, there's a little bit of a lag with us because we lag the bureaus, but we're affected by some of the same headwinds.
Jeffery Meuler: 23:54 Okay. I know you answered the question on expense management, but can you give us a similar take on the question but in the context of guidance just stands out, how much the adjusted net income guidance has increased relative to the magnitude of the revenue guidance increase? So if you could help us bridge that, that'd be helpful.
Michael McLaughlin: 24:18 So without getting into too much granular detail, I can give you the buckets that you can think about. First one is COVID related T&E, travel and entertainment, as well as big customer events. We've returned to normal there slower than we expected we would when we set guidance at the beginning of the year. 24:40 We still think that's going to increase in the second half of the year. We know it's going to increase because we have our FICO World event coming up next month and we also had our internal event, what we call Success, last month, actually it was in April, so it hit Q3. So we'll see increases there but relative to what we forecast the beginning of the year, we saw less in Q1 and Q2 and we think we'll continue to see less than we had thought we would in Q3, Q4. 25:11 The second bucket, Will mentioned it, is just reduction in the cost of delivering our SaaS products, COGS for SaaS, as well as other operational improvements that we've been able to achieve, mostly in the software business. We have line of sight on some of them, but we've frankly done a little better than we hoped and so we feel it's appropriate to reflect that in the guidance. 25:34 And then the third bit is, probably not a surprise if you cover other companies in the American economy that hiring is harder these days, just in terms of pace of being able to find people and get them on board. And so, we are hiring rapidly. We think we're getting good people, but it's just happening at a slower pace than we had assumed in the guidance. So, personnel costs are a little bit lower. Those are the three buckets.
Jeffery Meuler: 26:02 Got it. And then just maybe another comment on platform ARR and pipeline. I get that you had a monster sequential growth last quarter, so there is probably some pull forward into Q1, but just maybe if you could comment on the sequential growth or the pipeline, because I think that you said the mega win benefited platform and I would think that benefits platform ARR and it was fairly small sequential growth this quarter, if you could just talk through that. Thanks.
William Lansing: 26:38 Yeah, it's a fair question. The ARR for that large deal will not hit our reported ARR until next quarter. We have certain definitional rules about when a deal qualifies for ARR and others. We don't want deals that sign at 11:59 in the last day of quarter to boost ARR by millions and millions of dollars. It doesn't seem like it's a fair reflection. So we have a cut off period in ARR that's different than cut off period for ACV bookings or revenue, so you'll see that in the next quarter. 27:08 And also keep in mind that, our business, whether you think about it in ACV bookings terms or ARR terms, is lumpy from quarter to quarter. We did big deals and sometimes they hit in a quarter, sometimes they hit three, four days after the quarter. It was a good quarter, but in terms of the platform deals, we just happened to have a nice chunky one signed a few days ago for Q3. So don't fret too much about the quarter to quarter because of that and then specifically that big deal, it shows up in our revenue recognized at a point in time and ACV bookings disclosure did not hit ARR this quarter.
Jeffery Meuler: 27:47 Okay, thank you.
Operator: 27:53 And there are no further questions at this time.
William Lansing: 27:59 Thank you. Thank you everyone for joining today. That concludes our call and we look forward to talking with you again soon. Thank you for joining.
Operator: 28:08 That concludes the call. We thank you for your participation and ask that you please disconnect your lines.